Operator: Ladies and gentlemen, thank you for standing by. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded Wednesday, October 27th, 2010. I would now like to turn your call over to Dave Cresci, Investor Relations Manager at MarketAxess. Please go ahead, sir.
Dave Cresci: Good morning. And welcome to the MarketAxess third quarter 2010 conference call. For the call, Rick McVey, Chairman and Chief Executive Officer will review highlights for the quarter, Kelly Millet, President, will provide an update on trends in our businesses and then Tony DeLise, Chief Financial Officer will review the financial results. Before I turn the call over to Rick, let me remind you that today's call may include forward-looking statements. These statements represent the company's belief regarding future events that by their nature are uncertain. The company's actual results and financial conditions may differ materially from what is indicated in those forward-looking statements. For a discussion of some of the risk and factors that could affect the company's future results, please see the description of risk factors in our annual report on Form 10-K for the year ended December 31, 2009. I'd also direct you to read the forward-looking disclaimers in our quarterly earnings release, which was issued earlier this morning and is now available on our website. Now let me turn the call over to Rick.
Rick McVey: Good morning and thank you for joining us to discuss our third quarter 2010 results. This morning we reported another set of stronger quarterly results. Our record revenues and earnings reflect strong momentum at our core e-trading product areas, continued strength in investor order flow and disciplined expense management. Operating margin improved to 36% during the third quarter, a significant increase from 28.5% one year ago. EPS of $0.22 was almost double year ago levels. Variable transaction fees were the largest contributor to revenue growth and were up 29% driven by a combination of volume and fee per million growths. Fee capture per million increased during the quarter, reflecting additional contributions from our regional dealer fee plan and stronger emerging market and high yield bond volume. Total trading volume of $105 billion was 25% above a year-ago and the highest since pre-credit crisis levels in the second quarter of 2007. Industrial order flow in to the system was up 8% and 16% in US high grade. Increased investor order flow and improved dealer hit rates combined, increased our estimated US high grade market share to 8.3% versus 6.5% in the third quarter of 2009. Slide 4 displays the details on our financial strength. For the third quarter EBITDA grew to $15 million and our EBITDA margin reached 40% up from 34% one year ago. Free cash flow of more $50 million in the last 12 months has provided the financial flexibility to comfortably execute our share repurchase program and meet our quarterly cash dividend. During the quarter we repurchased 1.6 million shares of our common stock at a cost of $23 million. We expect the repurchase program to conclude in the fourth quarter, which will meet the objective to offset the increase of our diluted share count, which occurred from 2009 to mid 2010. Our cash and securities balance at September month end was $183 million compared to $188 million at the end of June. During the third quarter we expended a total of $26 million on the share repurchase program and the quarterly dividend. We largely covered the entire capital management related expenditures with cash flow generated during the current period. Our Board will continue to consider capital management opportunities for our share holders on our regular basis. Slide 5 provides an update on regulatory reform in our credit to flows swap platform. We are encouraged by the pace of activity in the rule-writing process, by both of the key regulators the CFTC and the SEC. We believe the regulators are on track to finalize the new rules for OTC derivatives markets by the target date next July. The first rules on conflicts of interest have already been released and we expect further clarification on swap execution facility principles within the next few months. We believe that our transparent trading protocols and our independent governance model will meet the principles for a swap execution facility. We would expect the new rules for trading and clearing, standardized swaps to be in effect 60 to 90 days after the rules are finalized. We don’t know yet how broad the universe of clearable swaps will be, but we continue to expect to run 80% of the CDS market will eventually be centrally cleared, which will trigger the requirement for execution on an exchange for a swap execution facility. Bond within the CDS market was down from pre-crisis levels is still substantially greater than volumes in the cash credit bond markets. A good portion of the CDS volume takes place in highly liquid indices and we believe the client-to-dealer volume represents about 35 to 40% of the CDS total. Key questions remain on whether the rules will provide exemptions from the execution requirements for block trades and the number of viable entities that could become [SAS]. We are actively engaged in the process with both regulators and market participants and we believe that our credit trading connectivity and trading technology creates valuable competitive advantages. Now, let me turn the call over to Kelly, for more detail regarding our third quarter business results.
Kelley Millet: Thank you, Rick. Slide six, provides an update on market conditions. During the third quarter credit market conditions remained healthy. High grade credit spread is measured by the credit suite LUCY index ended the quarter at 136 basis points over treasury, a decrease from 158 basis points at the end of the second quarter and credit spread volatility was 4.3% at the end of September, down from 6.5% at June month end. During the third quarter non-government guarantee new issue volume increased to $208 billion, the highest it has been since the second quarter of 2008. The yield curve flattened relative to the second quarter, but remained steep on a historical basis. Taxable bonds, funds and ETS continue to see strong inflows creating additional demand for corporate bonds and other credit assets. Slide 7 highlights our improved client and dealer participation. The decline in primary dealer corporate holdings from pre-crisis levels highlights the importance of the increasing participation of non-primary dealers. During the third quarter new dealers added to the platform since the second quarter of 2008 accounted for 15% of the volume and 23% of the trade count. As a result of the increased participation of new dealers and better performance from existing dealers, hit rates have shown a strong improvement. High grade hit rates were 74% for the third quarter compared to 66% in the third quarter of 2009 and 70% during the previous quarter. The increase in US high grade market share for the third quarter and year-to-date demonstrates the contribution of both improved investor [increased wealth] and dealer hit rate. The continued self focus on late adapters, transaction cost analysis, connectivity and technology enhancements can drive additional share gain. Slide 8, summarizes the trading volumes across our product categories. Overall growth of volume is up 25% year-over-year to $100.5 billion. The last time quarterly volumes reached this level was in the second quarter of 2007 when 18% of total volume was attributable to floating rate note trade. Record quarterly volumes were reached for US fixed rate, emerging markets, and agency bonds. In US high grade our estimated market share for the third quarter improved to 88.3% as [volumes] rose to 60 billion up 28% year-over-year and up 4% from the second quarter. Eurobond volumes declined 35% from the third quarter of last year and 16% from the second quarter 2010. Europe continues to face a challenging market environment due principally to sovereign debt concerns. The launch of the click-to-trade protocol gives us access to a larger addressable market. We are also increasing sales resources aimed at addressing underperforming clients and regions, which can support future volume growth. The other product category volumes increased to 29.4 million, up 75% from the third quarter of 2009 and 7% from the second quarter of 2010. The increase was driven primarily by another quarter of strong growth in emerging market volumes. Slide 9 highlights the revenue drivers of the business. US high-grade TRACE volumes remain strong driven by number of factors that I spoke to you earlier. US high-grade TRACE volumes are paced to reach the highest annual level since 2003. Product variable fee per million of $188 increased $13 from the second quarter of 2010 and were up $6 from the third quarter a year ago. Dealers on the high grade regional fee plan and higher emerging market volumes were the main contributors to the higher fee capture. Total variable transaction fees of $18.9 million accounted for 60% of the total commission. A portion of the variable transaction fee growth is attributable to the incremental execution fees generated by the regional plan dealers. Given the continued success of the dealers on the regional fee plan, we do except several of them to migrate to the major dealer fee plan. With that let me turn the call to Tony for more details regarding our third quarter financial results.
Tony DeLise: Thank you, Kelly. Please turn to slide 10 for our earnings performance. Our record revenue of $37 million increased 25% from a year-ago, primarily driven by commission revenue growth and continued positive contributions from our technology products and services group. Third quarter revenue has also included a one-time gain of approximately $400,000 on the sale of a treasury note. Total expenses were $23.9 million, up 2% sequentially and 11% in the third quarter of 2009. The revenue growth and expense management, led to record pretax income of $13.5 million, up 58% from last year. Incremental margin year-over-year was 64%. Our effective tax rate for the third quarter was 36.3% and reflects favorable adjustments, principally resulting form the filing of our 2009 tax returns during the period. We expect our full year tax rate to be towards the lower end of the guidance range of 39% to 41%. The share repurchase plan activity reduced third quarter diluted share count by approximately 900,000 shares. As Rick mentioned we expect to complete repurchases under the $30 million plan in the fourth quarter, at which time we will have bought back a projected total of approximately 1.9 million shares. Assuming an average share price around last night’s close of $18.31 we would expect our diluted share count for the fourth quarter to be in the range of 38.2 million to 38.6 million shares. On slide 11, we have laid out our commission revenue, trading volumes and fees per million. Distribution fees of $12.3 million were up $1.6 million from the third quarter of 2009 due principally to the addition of several major dealers over the past year. We project that distribution fees will increase by approximately $800,000 in the fourth quarter. The US represents the majority of this increase as several dealers participating in the regional plan migrate to the major plan. At third quarter volume, duration and average trade size levels, the migration is revenue neutral. All else equal the increase in distribution fees would be offset by a corresponding decline in variable transaction fees resulting in a reduction in US high grade transaction fee per million of approximately $13 to $15. The Euro bond fee capture reflects the fee plan change made late in second quarter of 2010. The other product category fee capture increased to $189 per million for the third quarter compared to $166 for the second quarter. Fee capture in the other product category is driven principally by the mix of volume in high yield emerging markets and agency bonds. Compared to the second quarter emerging market bond represented a higher percentage of volume in this category. Slide 12 provides you the with expense detail. Total expenses for the third quarter were up 2% from the second quarter and in line with the first half of the year run rate. Employee headcount was little changed during the quarter. We do expect to additional sales and technology resources in the fourth quarter and believe that we are tracking towards the higher end of the full year 2010 expense guidance range of $94 million to $96 million. We anticipate that there will be incremental expenses beginning in 2011 associated with running a swap execution facility. The incremental expenses, mainly personal related, would ramp up in the second half of the year. We currently expect that staff related headcount could result in a 3% to 5% increase in total headcount by year end 2011. Consistent with our past practice we will provide full year of 2011 expense guidance in conjunction with our year end earnings call. On slide 13 we provide balance sheet information. Cash, cash equivalent and securities as of September 30 were $183 million or $4.72 per diluted share compared to $174 million at year end 2009 and $162 million one year ago. Free cash flow for the trailing 12 months was $51 million including a deferred income tax benefit of $16 million. With the recent earnings performance we are quickly utilizing our US federal tax loss carried forward. At the current level of earnings, we will have some tax loss and credit carry forward available for use next year but we expect to be in a federal tax paying position during 2011. Total stockholders equity including the Series B preferred stock was $256 million as of September 30, representing book value on a diluted basis of $6.61 per share. We continued to have no bank debt. Now let me turn the call back to Rick for some closing comments.
Rick McVey: Thank you, Tony. Our strategy to expand our trading network and our great product capabilities is paying off with record revenues earnings and cash flow. Consistent revenue growth is driving earnings momentum and improved margins. In addition to the significant growth potential in existing products, we’re excited about the new opportunities emerging in the OTC derivatives space. We are actively investing the benefit from the regulatory changes. We believe the addressable market opportunity for electronic trading in fixed income markets is getting larger. While at the same time our competitive position is getting stronger. I would now like to open the call for your questions.
Operator: (Operator Instructions) Your first question comes from the line of Hugh Miller of Sidoti and Company.
Hugh Miller - Sidoti and Company: You guys have mentioned a little bit about some of the swap execution facility cost you had expected to incur in the second half of ‘11. I was wondering should we be thinking about the possibility of some revenue enhancement from that trading, to kind of offset a portion of the cost or is that on a [likely] scenario?
Rick McVey: I think, Hugh we would anticipate that the additional cost for operating a swap would hit in the second half of the year at the same time that the new trading requirements would also kick in. So yes, we would expect expenses to revenue and revenues both to start emerging during the second half of the next year.
Hugh Miller - Sidoti and Company: Okay. So is they are likely to kind of be more of a wash? Would you say at this point obviously no one has a crystal ball where you know or one kind of outweighing the other?
Rick McVey: Yes. It’s really difficult to say right now.
Hugh Miller - Sidoti and Company: Okay. And how are you seeing the competitive landscape shaping up for the number of clients-to-dealer SAS and how do you expect kind of competition to emerge from that category?
Rick McVey Tony DeLise: Depending on the speaker, we have heard estimates at anywhere from 30 SAS to as high as 8o to 100. So, nobody really knows but it’s across all asset classes and across all client segments. And as you are aware there are very few networks that are positioned to easily accommodate a swap execution in the institutional customer to multi-dealers phase. And we were pleased with the developments that we saw during the quarter. The conflict of interest rules clearly favored independent governance structures. We think we are in great shape there. There has been commentary that it’s unlikely that single dealer systems would qualify at SAS. So, we think the viable entities active in the institutional customer in the multi-dealers phase or CDS are fairly limited.
Hugh Miller - Sidoti and Company: Okay. Do you have a sense or any sense I guess on where you would anticipate variable fee per million of pricing would kind of workout for index single name or is it something that you don’t have a great handle on to share at this time?
Rick McVey: We really don’t have a great handle on it to share at the time. I think we’ve said consistently that a little over half of the CDS volume is taking place in a highly liquid indices, with varied site that offers spreads. And you would expect the transaction fees for those indices to be significantly lower than higher bid offer markets like corporate bonds. So, the indices fees we would expect to be consistent with liquid product fees and I think single name fees depend on liquidity of the name, but we would currently expect it to fall somewhere between the index fee and the corporate bond fee.
Hugh Miller - Sidoti and Company: Got it. Okay. You mentioned in the slides about the split between dealer-to-dealer and client-to-dealer and obviously, the client-to-dealer would be more in line with what you currently do. Is there a possibility that you guys could be able to pickup business in dealer-to-dealer or is that really not an addressable market for you?
Rick McVey: Yeah. I think we have those capabilities and we will continue to consider all opportunities in E-trading in a variety of different client segments. Our strength is clearly in the client-to-multi-dealer segment and that is our primary focus to start out. And, we really don’t know how the trading models will evolve either but it’s quite possible that liquid markets like indices will start to evolve into a more open trading protocol.
Hugh Miller - Sidoti and Company: Okay. And question just with regards to obviously, we have seen an improvement in the hit rate now reaching towards 74%, a nice pick up for the last quarter. Is it realistic to think that the hit rates could kind of trend up over 75% or they are kind of, I know from a historical stand point, I don’t think its kind of done that but what are the trends you are seeing there? How strong could the hit rate potentially get to in your opinion?
Kelly Millet: Hugh, its Kelly I think on a historical basis again drilling down to the hybrid business I think our high-tech in terms of hit rates were more in this sort of high 70s to 80. I think a couple of variables will affect our ability to continue to improve on that. Obsessively it’s the continued growth and importance of our regional dealers and that’s both regional dealers that migrated as Tony said up to the major plan as well as back-selling new regional dealers into that group and the continued focus and work with existing major dealers. A lot of that is day-to-day work around rallying and credit with our dealer customers but there is also a lot of work going on associated with automating their capability to interact, whether its delivering inventory of the API at a more regular, more high quality basis, whether that instituting trading APIs, so that they can interact not necessarily just [aggregate] within their own system, as well as what you have number of them to provide software and tools that they can aggregate prices across markets and execute either more efficiently or in fact on an auto execute basis in the smaller ticket sizes. So I think they are subject to caveat of market conditions, volatility, risk appetite. I do think there is upside based on the initiatives that are laid out there.
Hugh Miller - Sidoti and Company: Okay, great color there. And just a last question with regards to market share trends for US high grade that you could potentially share with us regards to what you are seeing so far in October?
Kelly Millet: Yeah, I know its interesting, look I spoke a lot about that for the last couple of days I mean market share can vary as you know day-to-day, week-to-week and even month-to-month. And it’s impacted by a number of factors including risk appetites. It’s impacted by the overall level of new issue activity. And can even be about which clients are busy in a given day week or month. What I would try to do with the Rick’s leadership and with the team is try to focus on a sustainable improvement in share. And I try to look at that on quarterly basis and if you look at on quarterly share gains in high grade go from 79 to 81 and now to 83 in the last quarter. So that’s sort of my marker of US, sort of saying that’s sort of what might drive. So we feel comfortable that we can continue to drive share higher on that sort of measurement basis quarter-to-quarter and there can be month-to-month fluctuation that to some degree quite frankly are out of our control.
Operator: Your next question comes from line of Howard Chen of Credit Suisse.
Howard Chen - Credit Suisse: Kelly I just have another spin on the previous question. I guess it’s around US high grade business. What do you think we should be looking at to gauge the possibility to just make further market share gains so that 8.3%, is it a hit rate increased volume and what should we be looking out that’s out there to see that expanded to the double-digits and beyond.
Kelly Millet: Well if you look at slide 7, to lower rate quadrant. It really was a contribution from both elements of the classes right hit rate, it was a function of improving [in play], as well as improving hit rate so on the increase side we work in two rates we have the late adaptors those that we, those that we think are in a sense of punching below their weight and should be doing more business over the platform. We do that with new and more senior sales people. We do that in delivering transaction cost analysis, best execution analysis, which is a very compelling argument in the US market place. And then as I said on the dealer side, in addition to gathering more dealers who are pushing dealers up to the major plan, its working with their traders from a technology standpoint from very fundamental issues of routing and how they filter their pop up to their ability to more automatically and efficiently responding to. And there is gradation or rather they just either you are contributing or receiving levels through API all the way to their ability to [stake] from various sources in order population, to order to execute the increase. So, there are lot of efforts going on both the supply side and the sell side, on a consistent basis. And really it’s that combination of the two that we think on a quarterly basis and push it to grind that share higher. Regarding the caveat it also is though to be subject to market conditions as you know volatility as well as risk appetite. So, there are really a few sort of parallel facts that we take with both supply side and the sell side on an aggressive basis.
Howard Chen - Credit Suisse: Thanks, Kelly. And shifting gears to the regional dealers moving fees schedules just post the $800,000 revenue neutral shift that we see in the fourth quarter that Tony spoke to you, where are we after that and how much is there left to go?
Tony DeLise: Howard, this is Tony. On the regional deals, we had a slide in there. On slide 9, we actually broke out the variable transaction fee to give you a sense of the execution fees, the additional fees generated by the regional plan. So, if you look at the slide, you would have seen that healthy growth, a 100% growth year-over-year in the execution fees. You said about to $3 million level in Q3. While, a chunk of that will shift over to fixed distribution fees, I think the positive thing we’re seeing is that there is another group of regional dealers who if you look at their performance months-over-months and quarter-over-quarter are increasing their participation. So, the guidance we gave assumes that, there is no further improvement in contributions from the regional dealer. I think the reality is, what history is showing that those regional dealers are participating, representing a bigger portion of trade content, trade volumes. So, I think we’ve given some guidance there on a revenue neutral, volume neutral basis but again there are some up and coming regionals that are increasing their participation.
Rick McVey: Another way to think, in other way to think about that is, as you look at the chart around corporate holdings amongst the co-primary dealers, although that stabilized, that is no we’re near back as you’re aware to pre-crisis levels. So, we generally continue to believe there is an opportunity, not only to migrate successful regional dealers to the major fee plan, which gives us that distribution fee, gives us a greater degree of certainty around that revenue flow. But we’ve actually have been pleasantly surprised that we’ve been continuing to add dealers in a sense, into the regional dealer pipeline and these are not necessary all small firms but rather firms who or either international or have recommitted to the cash markets. So, Tony’s numbers are like apples-to-apples, all are equal basis being revenue, neutral. My job, my team’s job is to ensure that we continue to in a sense grow that regional pie and continue to have that growth in their participation. I would point out that the most relevant nature of that participation is just the amount of tickets that in fact that group were doing and we think that is very important because we continue to think there is a large portion of that addressable market in that sort of odd market three million [bucket] size that these guys truly can help us to capture. So I think it’s the right statement to make financially because the job at hand is to continue in a sense to replenish that regional group, so that we don’t in a sense see that complete degradation in fees per million that Tony referenced.
Howard Chen - Credit Suisse: Great thanks and then just to complete that thought, Kelly. So how many regional dealers do you have now and what do you see at the universe? And how many are switching over to the major plan, I don’t know how much of that you’ve disclosed?
Kelly Millet: We don’t give a tremendous amount of details on that but just sort of in a rough terms right now participating on the major plan we have around 25 dealers that participating in regional plan there is around 25 dealers, it’s also around 50 in total. We will with the numbers I gave you there is definitely two regionals that will move up to the major plan, one did in the third quarter, one in the fourth quarter. We probably have two or three other regionals in the course of the next three or four, five months have a very good chance of moving up. In terms of bringing new dealers on, there is some fluid movement in some of the smaller regional that we bring on. I think as far as we bring the regional on they can go one of three ways, they can outperform or move up to the major plan, they can speak with the regional plan and pay the execution fee and in some cases, quite frankly they don’t perform and they fall off of the platform. So there is still a handful that will come on this quarter and its likely there is something handful that are going to fall off as well.
Howard Chen - Credit Suisse: Okay. Thanks for that detail. And just a quick one on the numbers, investment income and other revenues stepped up nicely from the second quarter. Could you just help to lay out any drivers there or unique items?
Tony DeLise: Sure. Howard, this is Tony again. There is really, and just to be honest there is one number that sticks out in that other. I did reference, that we had at sale of a treasury note in the third quarter, we simply extended the maturity on a portion of our Treasury note investments because the rates have going down and prices are going up, we were sitting on an unrealized gain at that point in time. Think of it as a onetime event, it’s not something we are doing in a normal course and that’s really drove the increase in that other revenue category.
Operator: Your next question comes from line of Patrick O'Shaughnessy of Raymond James Financial Inc.
Patrick O'Shaughnessy - Raymond James: Can you provide a little bit more color on the traction that you’ve got with the click-to-trade platform over in Europe? Certainly I think you guys got it towards fee capture over there falling to about $100, it sold at 93 for the quarter. So it’s little bit more than what you have expected. Is that because may be you got more pickup into the trading months that you were thinking or I guess what accounts for the variance there and just overall what sort of client reaction are you getting to the product?
Tony DeLise: Yes, just a moment on the fee capture, when we introduced the click-to-trade protocol and it is beta phase, we also recognized we had to understand what fee model we would put in place across both the RFQ business and the click-to-trade. So, we moved for all products. Except for government products, we’ll see over $100 per million. So, any variance around that $100 a million will be a function of what the participation of our contribution of government bond trading is in the total amount. So, that’s really the fee plan discussion. In terms of where we stand, we have approximately, a dozen dealers who are now contributing live market into the click-to-trade protocol. We don’t give a lot of specific details but we’re very pleased with the growth number of line items as well as the gross number of line items where we are seeing a minimum of pool prices. We purposely launched this on our database to a fairly narrow select group of customers in order to get a feedback on most field functionality and the rest. We will be launching it out of this on beta phase to very narrow select group of customers to order to garner feedback of multi-deal functionality in US. We will launching it out of this beta phase in approximately the middle of November, opening up to all of our European buy side customers. So, we feel that with critical mass on the dealers and that work is ongoing coupled with now opening up the products to the full universe to European customers, I think we’ll really begin to get a good hand on in an enchanting mark-to-market about the competitive success of that alternative protocol. We do feel it has been very well received. The feedback from the typical traders that use RFQ love it because it provides instantaneous price discovery, and points to who are the dealer that they should chose within the arc real quick. So, still a lot of work to do, but should have a lot of more detail in fact to discus at the end of the fourth quarter.
Patrick O'Shaughnessy - Raymond James: Understood. Okay, great. Thank you for that. And then, kind of, on a summer vein, over here in the US regarding the falls loss. Certainly, I think in Washington there is been a lot of discussion around, whether the RFQ protocol is appropriate for kind of all swaps or whether it should be more of a live streaming code type system. What is your latest take on that? And how do you think that you guys are positioned if it does go to click-to-trade type protocol?
Tony DeLise: I think it’s a great question, Patrick. I think, the regulatory objective is to ensure that the OTC derivative market has both pre-trade and post-trade transparency. And I think that the appropriate questions are being asked about whether the RFQ model offers the appropriate level of pre-trade transparency. We’ve had many meetings with the regulators, many discussions, we’ve been part of the round table panel that they’ve had in Washington. And our current read is that they are getting increasingly comfortable with the pre and post trade transparency of our RFQ model. So it’s possible I think that there would be required, we would be required to make a few tweaks to what we do today. But we think they’re pretty straight forward in terms of the technology work. And quite frankly, with the number of trading protocols that we already have built in the system, we think we’re ready today for virtually any outcome.
Operator: If there are no further questions, I would now like to turn the call back over to Rick McVey for his closing remark.
Rick McVey: Thank you very much for joining us this morning, and we look forward to talking to you next quarter.
Operator: Ladies and gentlemen that concludes today’s presentation. Thank you for your participation and you may now disconnect. Have a great day.